Masataka Kaji: Good evening. Thank you for your attendance to the Ajinomoto’s Interim Financial Results Presentation Meeting FY 2024. This is Kaji, IR Department, the moderator. First, I’d like to introduce today’s participants from Ajinomoto’s side. Fujie, Representative Executive Officer, President.
Taro Fujie: Hello. Nice to have you all.
Masataka Kaji: Mr. Shirakami, Representative Executive Officer, Executive Vice President.
Hiroshi Shirakami: Hello. Nice to have you all.
Masataka Kaji: Sasaki, Executive Officer and Senior Vice President, General Manager, Corporate Division. Masai, Executive Officer, Food Products Division.
Yoshiteru Masai: Hello. Nice to have you.
Masataka Kaji: Mr. Maeda, Bio & Fine Chemical Division, Executive Officer.
Sumio Maeda: Hello. Nice to have you all.
Masataka Kaji: Executive Officer in charge of Finance and IR. This is Mizutani.
Eiichi Mizutani: Hello. Nice to have you.
Masataka Kaji: Kawana, Supervision of Frozen Foods, Executive Officer. Quality Assurance, Smriga, Executive Officer. Executive Officer, Diversity and HR. This is Kayahara.
Shino Kayahara: Nice to have you.
Masataka Kaji: Global Communication Department, Ogiwara.
Yoko Ogiwara: Hello. Nice to have you all.
Masataka Kaji: So, we have 10 participants from Ajinomoto’s side. Today, from Mr. Fujie, he will be talking about summary of financial results for the first half ended September 30, 2024, and the forecast and initiatives for enhancing corporate value and we will have Q&A. The overall meeting is expected to be an hour and 30 minutes. Today’s material will be -- is already uploaded on the website of Ajinomoto, so I hope you would refer to them. Today’s contents would be recorded, and including the Q&A session, will be uploaded on our IR website. I would like to have your understanding. So, we would like to start. Fujie-san, please.
Taro Fujie: Good afternoon, everyone. I am Fujie. Today, I would like to thank you for joining us despite your busy schedule today and I would like to thank you for your continued support extended to us on a day-to-day basis. I would like to take this opportunity to express my thanks. Let’s get into the presentation. There are five key messages today. The first in the interim period of fiscal 2024, both sales and business profits reached new highs, and 113% and double-digit growth excluding currency translation, and forecast for sales and business profit has been upward revised. And then, electronic materials and others are recovering steadily, and CDMO Bio-Pharma Service, including Forge Biologics, are steady, and Healthcare is leading the growth. And third, Seasoning and Food overseas achieved stable organic growth, and in Japan, the profit margin declined in Food Products, especially Coffee in Japan and Frozen Food in Japan. Those are the challenges for us, and so we have to take further actions. Fourth, the upward revised operating cash flow is created and returned to the shareholders proactively, and we announced a two-for-one stock split and repurchased shares up to ¥40 billion at the same time. And to achieve our 2030 roadmap, we intend to evolve toward a corporate culture grounded in our Purpose, in which employees will take the lead in achieving our vision and taking challenges. Now, the interim results, we have achieved new highs in both sales and business profit. Up to 2023, four years in sales and five years in the world for profits. We have been achieving record highs, so we’d like to continue. So sales were 108% of the previous year or 105% excluding currency and business profit, 113% of the previous year or 110% with currency translation excluded. And Seasoning and Food overseas that generate profit and Functional Materials also recovered, leading the overall performance and 108% of the previous year was achieved or profit achieved, to owners of the parent company and this is analysis of the difference. Page 7 is the difference in the business profit segment and then Page 8 is the Food and Quick Nourishment and Sauce and Seasonings breakdown of sales and factors behind changes in business profit. So I hope you can refer to that. And also in Coffee, I will explain more about that. And then Page 9 shows the revised forecast for the full year fiscal 2024. Business profit and sales have been revised upward, as you can see. And then Functional Materials in business profit and sales we are going to revise upward. And as for Coffee business in Japan, we have revised the business profit downward. And in order for future investments, we have increased shared company-wide expenses. And as for the net profit attributable to the parent, out there a restructuring reform that has not been included in the budget is there, so we have not changed the forecast. And this is the changes in business profit by disclosed segment. And then Sauce and Seasonings and Quick Nourishments breakdown of sales and factors behind changes in business profit. So there is one thing that has been revised. At the left bottom, we have reflected the higher cost of coffee beans in Japan, and so growth in profit in Japan has decreased by ¥2 billion. So let’s start with page 12, talking about coffee business in Japan. So for Ajinomoto Group as a whole, in fiscal 2034, we have achieved increased sales and profit, and we have made upward revision. But there are some challenges we need to address. One of them is Coffee business in Japan. The business profit margin has declined and the cost increase, we have been addressing them. As you can see, right bottom graph, we have repeated price increase steadily. However, the raw coffee bean price increase has continued. And in September, we have carried out major price increases in multiple categories. However, they are insufficient to fully make up for the situation. So in the full year forecast for fiscal -- this fiscal year, we revised business profit downward by ¥2 billion, as I said. And so right after the major price increase in September, we have to closely watch the coffee bean price. And then, if necessary, we would carry out further actions. On the other hand, as far as Ajinomoto AGF, regular coffee, instant coffee, we are taking the top share. However, we are not taking top share, but AGF, even if sacrificing the volume, the repeated difficult price increase has been carried out with the communication with the market and consumers. So we kept taking on this challenge. So I think this is a reflection of the onsite capabilities improvement. So to some extent, we had been prepared for volume decline. So this is within our assumption. That’s what I wanted to tell you. Page 13. In addition to short-term price increase, what are we going to do in the mid- to long-term? That’s what is shown here. And coffee beans’ market price, we have to have a portfolio that is less susceptible to those coffee beans’ market prices. And left top corner, regular coffee and instant coffee. So coffee beans’ cost as percentage of sales is a bit higher, relatively higher. So sticks and powder drinks, where the coffee bean raw material percentage -- as percentage of sales is lower. So we are making the shift from regular or instant coffee to sticks and powder drinks. As for sticks coffee, it already represents 40% of total sales and 15% for powder drink already. So this is a mid- to long-term initiative. So in enhancing execution capability, we are carrying these out so that we can turn around the coffee bean business. Page 14. The Seasonings and Food segments overseas. As you can see, there has been steady growth. As the business profit margin, the pre-pandemic level has been surpassed already. So with this initiative, we are aiming for organic growth and maintaining high profit margin, business profit margin. Page 15. The second issue is the Frozen Foods in Japan. First of all, let me explain about overseas business first. So overseas business is in line with the plan. So in North America and other countries outside of Japan, we have experienced a decrease in profit. But in fiscal 2023 in the fourth quarter, more specifically, January through March in 2024, we have made concentrated marketing investments. And we have evened this out from this fiscal year, from the very beginning of the fiscal year and spent -- using this. So we are making progress in line with expectation in terms of business profit. But the issue is in Japan. There were originally three pillars. The first one is to have a double-digit growth in sales. And the second is to recover top market share for gyoza. And third is the proactive brand investments. And then increasing GP, that would exceed the increase in these investments. So the gyoza top market share has been recovered. But Frozen Food sales in Japan actually remained at the level of the previous year only. And also the cacao and rice and other raw materials have increased in prices. And also there was a weaker yen. So because of that, costs increased and we have seen profit decline. But desserts and others have been increased in prices. We have already made an announcement for the second half and we have already carried out price increases so far. But the point is the mainstay gyoza regrowth has to be accelerated. And to that end, in August, a high-volume gyoza product has been launched and also the cooking method and health value, if there is differentiation that we can do, then we have been enforcing this ahead of others. And also we have increased value-add so that GP margin and share would be increased. So all the employees and top management are working together to address this. Next is Functional Materials. In last fiscal year, there was a big decline in sales and profit. So we caused concern for you, but we have been able to steadily recover this business. Sales and business profit have been revised upward. And for both sales and business profit, we would exceed the 2022 level where we had a previous record high and we are expecting another record high for this fiscal year. And 17 -- Page 17, CDMO, in the first half, business profit decreased by ¥600 million. But the Forge impact was worth ¥4.2 billion. So in the existing business, we actually achieved a profit increase of ¥3.6 billion. And as we said in October IR, with regard to Forge Biologics, in a single-month basis, there were months where profit was achieved. So business operation has been progressing smoothly. And ASV indicators, I explained on Page 18. I hope you would refer to them. And on Page 19 is the growth paths by segment. And in Page 20 is forecast for total assets. We have not made any revision. Net D/O ratio range is going to be raised from 30%, 50% to 40% to 60% and we are going to control them with the policy. And next is cash -- operating cash flow. We do have a lot of capabilities here. ¥20 billion was the upward revision and it is about ¥195 billion. We would like to refine our earnings capability and we want to actively return -- provide shareholders return. Page 22 is the investment plan, which has not been revised. And turning to Page 23 is the important management indicators on left top, ROE, which is 12%. It has not changed from the beginning of the fiscal year. It is one challenge and 18% is a goal, and there is a big gap. We would like to improve the productivity, the margin, and by having the increasing financial leverage, we would like to raise the net D/E ratio. And on Page 24 is the ¥195 billion of cash. We would like to generate cash. And with the allocation policy, we would like to provide flexible shareholders return. As for the specifics of the shareholder returns are explained on Page 25. ¥40 billion share repurchase have been announced today. So already in FY 2024, we have done ¥50 billion. So in total, this is going to be ¥90 billion size of the same scale as in FY 2023. With the normalized EPS and progressive dividend policy, we will be having ¥80 of the dividend payment we have announced this last year. We would like to continuously provide this and we would also like to accelerate shareholders return. And also we finance about two-for-one stock split. And from here, I’d like to talk about initiatives for enhancing corporate value. From left to the right, it explains about business profit growth rate, excluding the Forge impact FY 2022 forecast, which was a roadmap Launchpad. We were able to grow by 15% and FY 2024, we’re doing all right. The ¥160 billion, excluding Forge, is 11%. And from FY 2025 -- until FY 2025, our profit growth should be 10% to 15%. We are very ambitious in our targets and we have been able to go for it. And we were able to execute all the plans and projects and that is a reason why we were able to achieve the target as well as the plan. Turning to Page 28 in the latter half of the roadmap 2030, we would like to have a mindset for further challenges and I think we’re ready for it. On the other hand, we were able to improve ourselves, but there are challenges as well. That is the goal, as well as the present, the gap between that. We would like to improve that and evolve. That means that this is going to be a chance for us to grow. We would -- are steadily reaching our goals and we have written them in detail. Page 29 explains about overseas Food Products business. I think they are in a virtuous cycle for further growth. As you can see on the right-hand side, DX has been used, and that usage is going to be accelerated and we will have a firm ground and we will scale up. We would like to do that. Next is0020Page 30. This is a Japanese Food Products business. Excluding Coffee, the Seasonings and Foods margin -- profit margin has been improved and increasing, but we have not reached to the pre-pandemic level yet. So in that sense, we would like to see price hikes and Ajinomoto, thanks to your efforts, is regarded as one leading food company in Japan, and people pay attention to our companies. We are able to therefore provide various communications. We would be able to provide healthy inflationary cycle so that we can increase the wage as well as the price, and as Ajinomoto Group, we would like to provide wage hike and we want to contribute to a better environment. Ajinomoto’s marketing people are trying to come up with healthy inflationary cycle so that that will solve the societal issues. I think this will reach and lead us to ASV, Ajinomoto shared value to society, and that is gradually being reached. Page 31. This is a roadmap. Including myself, executives need to take the lead, but at the same time, our employees, each individual needs to exert their efforts for that, not just myself, but all the executives and other leaders are trying to have more communication and dialogues with our employees at the site. But what I’m telling them is that Ajinomoto Group’s purpose, amino science, contribute to the well-being of society and human beings. So this is a very big and wide perspective. We need to think about overlap of the individual employee’s purpose and the company’s purpose, and if there are overlaps, then motivation and engagement of the employees will increase. So we are providing My Purpose workshops that has been expanded to the global organizational heads, managers, general personnel, so that our employees could find an overlap in the purpose of themselves and the company. And as is written on next page, we’re trying to evolve our corporate culture. Page 33, we are talking about human asset initiatives. Let me introduce the preliminary results of this year’s engagement survey. ASV realization process, which was introduced last year scored 76 points, the same as last year. And this is consist -- this consists of eight elements listed here. In most of the cases, we have scored high, but third from the bottom, enhancement of productivity. It says to the employees, do you need a lot of approvals until your project is going to be approved? And here, there are the issues. Therefore, we believe that we have to review the approval process and also still we see some cultures that needs to build consensus. So we need to improve that. And so the last page is my message. First, the first half summary results. We continue to grow in the Food Product business and we are having a recovery in the Bio & Fine chemicals business from FY 2023. But on the other hand, second, Food Product business in Japan, there are rooms for evolution. So we’re trying to come up with a healthy evolution. And also, our corporate culture, we would end the management team and the employees should try to evolve the corporate culture. So that was a brief explanation from myself about the results and the corporate culture. So from here, we would like to start the Q&A session. Thank you for being with us. Thank you.
A - Masataka Kaji: Thank you very much, Fujie-san. I’d like to move to the Q&A session. Now, let me explain how to ask questions first. If you have any questions, please press the raise hand function button and then I’ll call upon your name. And if your name is called, please unmute yourself and speak. And those of you who are participating from overseas or listening to English, you can also ask questions in English, and there will be simultaneous interpretation service from English to Japanese and Japanese to English. And please let us limit the questions to two per person. And if there are too many ques -- people who ask questions, then there may be a possibility that we may not be able to call upon everybody. I’d like to ask for your kind cooperation and understanding. If you have any questions, please press the raise hand. So, Mr. Saji from Mizuho Securities.
Hiroshi Saji: Thank you. I have two questions. So, very good performance and upward revision and share buyback. Thank you very much. And CDMO second quarter, especially Bio-Pharma Service and CDMO recovery in sales is what I’d like to ask about, how to look at this, and then the revised performance in Functional Materials. Can you go into more details? As for Bio-Pharma Service or CDMO, so it is true that in the second quarter last year, there was a decline in revenue by ¥2 billion. But in the second quarter, in the Bio-Pharma Service, CDMO, ¥7 billion in recovery in sales is quite significant or ¥6.6 billion, which is quite sizable. So, can you explain more about background behind this recovery? Was there any one-time factor involved? And in the second half in total, ¥11.3 billion worth of increase in revenue or 16% including amino acids for Pharmaceuticals and Foods. So, Bio-Pharma Service and CDMO, how are you incorporating your forecast?
Taro Fujie: Thank you very much for your questions, Saji-san. Maeda will answer the question.
Sumio Maeda: Thank you very much, Saji-san. As for Bio-Pharma, there are two questions asked. Let me take up the Bio-Pharma CDMO. As you saw, in Q2, compared to our expectation, it just turned out that the performance was better. And in -- from Q4 last year, as we had said in the full year earnings, in 2023, the inventory adjustment, but funding in Bio-Pharma -- Bio industry as a whole or investment motivation, they were all negative factors, but we had expected this to recover gradually and the recovery has been in line with our expectation. But in Q2 and Q1, first of all, the large pharmaceutical companies and also the listed products, the launched products, the contracting from those customers and for those products have been recovering steadily, especially in Japan and Europe, we are benefiting from these recoveries. And in the second half, there will be more from small and medium companies and venture companies that are developing new modalities. So we are having more expectation from these. And I am saying this every time, but the business performance is not even from month-to-month. So larger orders were also placed in September that we had expected to come in the second half. So in Q2, there was some positive surprise to some extent. So that’s the answer to the first question. Well, basically, you bottomed out and the contract that you received, there are inquiries, but basically in the second half, we can expect this to continue steadily, yes. We are on the recovery trend, and depending on the size of the customers and the types of the drugs, there are some variation, but overall, the market business is on the recovery track. The next question is about Functional Materials. So for your guidance in terms of sales by ¥5.5 billion in business profits, ¥6 billion, we have made upward revisions by that amount.
Hiroshi Saji: So what was better than what you had expected initially?
Sumio Maeda: And 52.8% in the first half, which is the profit margin, which is quite high, but in the second half, profit margin would be going down to less than 47%. That is what you had assumed just as the initial forecast.
Hiroshi Saji: So what is the difference between now and the initial forecast, and what would be the expectation for the second half?
Sumio Maeda: So as we said last time, when we put together the original budget, the biggest factor, like servers and data centers, those are the major customers for ABF, and the degree of recovery was quite important index that we are focusing on and we expected this to recover gradually and be close to 2020 level, but actually more recently, high-performance computing in servers or data centers has been making more solid recovery than expected. So this is a driving factor, but as for profit margin, the product mix keeps changing in this industry of this format, so we are more conservative on the second half for the product mix. So it is very difficult to foresee or predict this mix. So in the second half, the product mix-wise, we are more conservative.
Hiroshi Saji: Thank you. Then for generative AI, compared to initial forecast, how are you doing?
Sumio Maeda: Well, as for the actual demand, this -- there has been a positive surprise, more than we had expected. There has been more, but the percentage of the total is not sufficient enough to impact the overall performance of profit, but it’s been stronger than we had expected.
Hiroshi Saji: Thank you.
Masataka Kaji: Thank you, Saji-san. Next question from Goldman Sachs, Miyazaki-san, please.
Takashi Miyazaki: This is Miyazaki from Goldman Sachs. I have two questions. First, the operating cash flow, ¥20 billion increase have been explained. Business profit is ¥2 billion increase. Operating cash flow is going to be increasing larger. So what is the reason behind this? And maybe this has led to repurchase of shares, probably. That’s the first question. And the second part is about the Food business, Coffee. You’ve talked about it, domestic and overseas unit price and volume. The slide that is showing them for Japan, plus, minus, I think volume, flat, 7% increase for the unit price. I think you were able to do good with the price increase, but in the second half, volume is probably single-digit gross unit price, probably 5% increase. But you’re struggling with the coffee. And what is the part are you going to increase the volume? Of course, the second half already started and how is the start?
Taro Fujie: Yes. Miyazaki-san, thank you for your question. First, about the operating cash flow. Yes, SCM inventory, we have been very effective. And supplementary comment will be done from Mizutani. And the second question about the Food items, basically Food business, initially we make a plan and we would go through with that plan. Of course, there are some changes of the environment, the societal and various things all included. And although we remake the figures, there could be changes and fluctuations. So that is an overall idea. But I think Masai is going to also supplement on this comment, the first question.
Eiichi Mizutani: Yes. Thank you for your question. As for the operating cash flow, we are trying to be more effective and efficient. And within -- at the beginning of the year, we are planning, and during we had -- although this is during the year, we have thought that we should revise this.
Taro Fujie: Yes. To the second question, Masai is going to answer.
Yoshiteru Masai: Yes. As you have mentioned, as was mentioned by Mr. Fujie, for the second half, I think, we have a very good start. As you are all aware, as for Foods, yes, Ajinomoto Foods is going to be selling more in the second half. For this year, Marketing Design Center was established last year and we have launched new products which are selling well. So the second half, we would like to see more volumes and we have a momentum. But we would like to sell more so that we have checked with those divisions and they say that they can do it.
Takashi Miyazaki: Thank you very much. As for the Food business, so that means that Coffee, sorry, not the existing ones, but the new product is going to be the driving force and then you want to, you could increase the volume. And you mentioned that the start is all right?
Yoshiteru Masai: Yes. Your understanding is correct. Yes, Coffee, yes, it was mentioned in the presentation that we had price hikes. Of course, there is a risk of volume going down, but we have penetrated this price hike and we would like to go with that. So Coffee, yes, this could contribute.
Takashi Miyazaki: Thank you. Thank you very much indeed.
Masataka Kaji: Thank you very much, Miyazaki-san. Next question from SMBC Nikko Securities, Takagi-san, please.
Naomi Takagi: Good evening. Takagi speaking. Can you hear me?
Taro Fujie: Yes.
Naomi Takagi: Thank you. It may be too early, but Page 27 in the next fiscal year, business profit forecast, 10% to 15% growth is aimed for. That’s what you said. So for this fiscal year as a basis, Food and CDMO and Healthcare. Of course, ABF, maybe it’s not clear, but how are you going to achieve this high growth in next fiscal year? So how do you go about doing that? Fujie-san, can you share your thoughts with us? And then what I’m concerned about is Slide 11, the overseas Seasonings and Processed Foods or Quick Nourishment. In the first half, profit increased by about ¥5 billion, but in the second half, raw material cost and production cost has been increasing, and there’s not much growth expected in the profit in the second half. So based on that, in the next fiscal year, so Food and Healthcare, how are we supposed to expect this?
Taro Fujie: Thank you very much, Takagi-san. So I’m going to answer that question, but if there’s any additional comment, please go ahead. And on Page 27, as I said, 15% for 2024 and 11% for 2024 -- 2025 and 10% to 15% to 2025, 2026 or what. And then we have a roadmap put together and that is being refined. So as we refine the roadmap and then come up with the specific initiatives, then there are those initiatives that are being promoted and once we make progress steadily, then we will be able to achieve what is close to 15%. But we have to have a challenging and ambitious higher ground or greater height to be established, and then we would draw a roadmap to reach that and then refine the specific examples. That would lead to execution capabilities, which we believe is important. So in that sense, you have to have a stress goal and that’s what we did and because of that, 15% in 2023 and 11% for 2024, that is what we are committed to. And so we would like to continue to refine our execution capabilities. So that’s what we would like to continue to do.
Naomi Takagi: On Page 11, Fujie-san, can you be more specific about approaches that you are taking? For example, in the case of Food, you are going to see the decline in profit, right, in this fiscal year. How to create more growth from there? And as for CDMO, in the previous fiscal year, there was a big decline, so it is a given that you are going to have a recovery in this fiscal year. So in order to have more smooth growth, how are we going to build up the growth in next fiscal year? That’s what I’m going to ask about.
Taro Fujie: As for Food in overseas, as I said earlier, so we are back on the further growth, the regrowth. So organic growth is something that we would like to achieve first and foremost, and also frontier areas like Cambodia and Laos, as we have mentioned, we have seen significant growth. So we would like to build that up further. And then also for Frozen Food in quarter four [ph], Frozen Food in Japan has had a headwind, but there are initiatives that are being taken, and we will see some impacts from those initiatives. And then as for Foods in Japan, as I said, there are various initiatives that are ongoing in fiscal 2024, so we would like to bring this back to the regrowth track steadily. And then as for Bio-Pharma and Chemicals, the biomaterials are actually recovering. The record high in 2022 was achieved, but we are -- we have that level in sight and if you look at the market from fiscal 2025 onward, there are views that there will be growth from there. And as for Bio-Pharma services, Forge -- as for Forge, in 2025, EBITDA, it should be turned into a positive. So in 2024 -- until 2024, there were factors that were negative, but in 2025, we will turn this into positive territory. So each of the business units and the business headquarters, as we go into 2025, what are we going to do and what that would bring us to in 2030. We are now trying to come up with a roadmap. So late January, there will be a presentation on roadmap with the global leaders getting together and share the information so that we can make sure specific activities will be implemented. Did I answer your question?
Naomi Takagi: Thank you. On Slide 11, I’m also concerned about the answer. Can you answer this question?
Taro Fujie: On Page 11, in one word, so initial budget is something that we have to achieve in Foods. That’s what we have been confirming. And then if you do the subtraction from there, this is -- these are the numbers that we have come up with. But as for Food, in ABF, there is a necessity to have a make -- to have to make downward revision. So ¥2 billion downward revision was made. And as for shared company-wide expenses for the future development, we have been focusing on that and reinforcing that. So this will be counted in the second half, so that will be the negative factor.
Naomi Takagi: Understood. So you are on the conservative side?
Taro Fujie: Yes, Ajinomoto should be more on the challenging spirit. That’s what people would say and I just do understand that. But there could be some changes in society and economy, so I thought that we should be more significantly on the conservative side.
Naomi Takagi: Okay. Thank you very much. And also I have a question to Maeda-san. For CDMO business, AJIPHASE is performing well. I do understand that. But for others than AJIPHASE, like polymers and medium or small molecules, are we going to see more improvements in the second half or not? And as for CDMO, compared to your full year forecast, I don’t know to what extent, but there could be an upside. Are we supposed to expect that?
Sumio Maeda: Thank you very much, Takagi-san. As you pointed out, the small molecule is the basis and it represents the majority of the sales. But in -- before 2030, AJIPHASE and other medium molecules and gene therapy modality would be increased in percentage so that we can have a significant increase in profit margin in 2030. But for the past few years, there were inventory problems in small molecules and also bio-industry funding problems, so we suffered from that. But as I said in the previous question, from Q2, especially in Europe and Japan, there has been solid recovery that we have seen. And especially for Europe, even when we talk about small molecules, we’re not providing one-stop services. We are just on the more risky and challenging ones for small molecules and there are strong inquiries on those services. Rather than talk about the second half of this fiscal year, but in the next fiscal year, small molecule in Europe is going to be strong and that’s what we have expected. And the AJIPHASE is performing well, but AJICAP is an antibody drug complex and new companies, new customers and licensing fees are coming in, and so there has been solid progress. And for the protein and very unique peptide production technologies is attracting multiple reactions. But in 2025 and 2026, there’s no guarantee, so we have to be serious in negotiating with the customer for each one of those one at a time so that we can make it into a business -- a viable business and our capabilities are being tested.
Naomi Takagi: What about polymers?
Sumio Maeda: Well, as for gene therapy, so in the Forge Biologics, as you saw in the presentation, so the inquiries are coming in more than we had expected. In terms of scale -- scaling, we are making more progress than expected, so there has been positive surprise so far. But this is -- this kind of therapy that is not existent yet, so we have to -- we shouldn’t just take off guard and we have to keep focusing on this.
Naomi Takagi: Thank you.
Masataka Kaji: Thank you very much, Takagi-san. Next question from JP Morgan, Fujiwara-san [ph].
Unidentified Analyst: Do you hear me? This is Fujiwara. Is it all right? Do you hear me?
Taro Fujie: Yes. We hear you.
Unidentified Analyst: Thank you. There are some overlaps with Ms. Takagi’s question. Page 27, 10% to 15% of growth, as is written here, 15%, and this year, 11%. You have given these numbers. But I think it has been raised by FX, and excluding that, it is mid-single growth. Let’s take FX aside, double-digit growth in order to achieve that, I think you need to accelerate your driving force. So what are the new actions? I would like to ask Fujie-san about your new actions. That’s the first question. The second one is about Coffee. Stick, and I think you want to focus on that. Yes, I am convinced. But the Coffee business, what is the significance of having this Coffee business? Could you tell us about this? By the way, Thailand’s Coffee business, is it struggling or is it good?
Taro Fujie: Fujiwara-san, thank you very much. Yes. The first one, FY 2025, in order to assure this with new actions, what are the measures that we are going to be taking? That was your question. Yes, we are thinking about various actions and measures within and without Japan, especially within Ajinomoto Group, for overseas, diversification is very important, and we have that format. Maybe you know about this. So first, in ASEAN, diversifying the business, this format, not just in Thailand, but in Indonesia, Vietnam, the Philippines, we have been able to diversify our business there. So they have led to regrowth trajectory, especially salt-reduced type products and health-oriented products. We have launched many of those products focusing on those areas, and like amino VITAL, the new genre products have been also launched. So I think we have already planted the seeds, so that is going to take into flowers. And for the domestic food business in Japan, we have Coffee, Frozen Food, they are challenging business, but I have mentioned to you the countermeasures. The Marketing Design Center that we have launched, which I have already discussed to you in the past, we would like to understand using digital graphs and understand the customers’ behaviors and trends. For example, Cook Do, the premium Cook Do, Mala Mapo Tofu Cook Dos, which is priced twice as higher than the ordinary one, but that’s very well taken, and one by pasta, that is also a new product, pasta cooked in one frying pan. I think they are making a hit. So I think we want those new products to become a stable and well-taken product by the customers, and that is another way of achieving our goal. As for the Bio, Fine and Chemical, we have various new measures, including Forge and AJICAP, that new product services and technologies, the monetization have already started and that is also contributing to increasing sales and profit. Also, as for the Frozen Food, Gyoza-X. In gyoza, we are the top brand in Japan and we want to expand this outside Japan. Already in Brazil, we have started the gyoza business, and in Southeast Asia, from Thailand to other ASEAN nations, we are using a favorable treatment of the tax and expanding the business outside that country. If we have time, two hours or three hours, I could talk about it. We have so many, so many seeds planted already, and so taking other opportunities, I would like to go more in detail about them. The IR group of our company, including videos, and they have been distributing a new product once a month being uploaded on our website, so I hope you would see them all. Any comment, Masai-san and Maeda-san, to the first question? No? Okay. Then the second point, AGF. Why do we have that company, the significance of AGF? Yes, I think this is part of our Purpose. I think their Purpose and ours would match. Ajinomoto Group’s Purpose is, using amino science, contribute to the well-being of the people. That’s the definition. So especially the Coffee and drinks, they are making people relax. These functions will lead to the well-being. That’s one thing. And another thing is that AGF, the human resources in this part of the business, it’s very strong. Ajinomoto Company have products and services, and we’re good at doing business at the top part of the market share. But for AGF, they are always the second and they are trying to survive that environment after the number one company, global company. Of course, I think there are people who are trying to do their best at that struggling environment. So I think that human resource is very important. And from the end of June, after shareholders’ meeting, Mr. Shimamoto, who had entered AGF from the beginning, he became the President. But before that, we had the President sent from Ajinomoto Company. So I think diversity and inclusion and equity have been well done at AGF. From DE&I, I think we have been able to enrich the human resources in that company. But on the other hand, we would have to see things from a more severe perspective. Yes, we have confirmed that. One thing is that the raw bean of the Coffee, the price is soaring. And we need to have a business structure so that they could endure that kind of structure. So we are thinking about a timeline that that company needs to endure that struggling environment. So with the people in AGF and people at Ajinomoto, they are making a good team and trying to survive the situation. Did this answer your question?
Unidentified Analyst: Yes, to the first question, I have additional question. You mentioned that ROE target is 18% and this year is 12%. We have a gap there. And why do you stick to this number?
Taro Fujie: Well, I think 2030 ASV, when we made this indices, we wanted to be challenging and ambitious. Of course, FY 2024 figure is very challenging and ambitious. But in order to challenge that high target, we were able to achieve various things. We had seen things perform well. So by the end of 2025, we still have time. So we would like to do our best and do everything that we can to achieve this ROE. However, having said so, as you have felt, that the challenging degree is rather higher than the other target that we have and I’m fully aware of that. So by the end of January, when we are going to be making a presentation, various departments are thinking about what to do with this.
Unidentified Analyst: Thank you. And another thing, how about Thailand, the Coffee business? Is it difficult?
Taro Fujie: Well, it’s not a big difficulty there. But within Thailand, the positioning of canned coffee, I think very sugar-rich coffee, a long-range drunk driver drinking coffee. From that level, I think the people’s preference have changed. Younger generation prefers less sugar, less strong coffee. And we’re trying to change the coffee -- canned coffee, in that format. I think the competition, yes, is very tough. But for the raw material of the canned coffee, of course, it is rising. So we have to think about price hikes and whether that is going to be accepted or not is going to be the key point. Masai-san, do you have any additional comments?
Yoshiteru Masai: Yes. Thank you very much. For Thailand, yes, the raw material is quite tough there. But as was mentioned by Fujie-san, in addition to that, Thailand and other companies, other countries, they have increasing population and we can export our product from Thailand. So, of course, the cost is very tough, but we can assume volume, higher volume. That is different from Thailand to Japan.
Unidentified Analyst: Thank you very much.
Taro Fujie: Thank you.
Masataka Kaji: Thank you very much, Mr. Fujiwara. Now let us move to the next question. Morgan Stanley MUFG Securities, Miyake-san, please.
Haruka Miyake: Thank you very much. Morgan Stanley Securities, Miyake speaking. I also have two questions. First one is about ASEAN region, Thailand and Vietnam. What are the situations? Can you elaborate more on that? In first quarter, in April, the shipment that has been moved to fourth quarter, there was weakness. But in the second quarter, the momentum has been picked up in Thailand. But the sluggishness has continued in Vietnam. So in each of those countries, what is happening? Can you give us more thoughts on that? And then second question, Coffee business in Japan is what I would like to ask about. Of course, inclusive of Frozen Food, can you give us comment? So raw materials cost is quite challenging and you have been working hard to increase prices. I do understand that. But it’s not about the current business performance, but the price and price commensurate, the margin level that you think is enough. In the mid- to long-term, what would be the level that you think is appropriate? In the Coffee business, during the pandemic, margin has peaked out and there may have been some special demand. So the mid-to-late single-digit may be appropriate or can you accept more? And likewise, in Frozen Food, there was an optimum level that was set to be 10%. That was given a long time ago, but things have changed since then because time has passed. So can you explain once again about that?
Taro Fujie: Thank you very much, Miyake-san. So for the first question, Masai will answer the question, especially Thailand and Vietnam in Asia. So Miyake-san, Masai will answer the question.
Yoshiteru Masai: With regard to Thailand, as was commented, in the first half, year-on-year basis, we were struggling. However, in the second half, actually the fermentation is the major part in Thailand. So fermentation raw material has a deciding factor -- is a deciding factor, but the prices have been settled down more recently. So in Thailand, in terms of cost structure, we expect some recovery and turnaround. As for Vietnam, honestly speaking, there’s some concern, and that is not just limited to Vietnam, but actually more prevalent in Vietnam. So at the beginning of this fiscal year, MSG global supply-demand structure was mentioned and from China, exports are increasing. That’s what I said, and the impact from that back then was on B2B business. That’s what I said. However, in some countries, there was also impact in B2C because of these exports from China, and Vietnam was one of those countries that were affected because Vietnam is adjacent to China in national boundary. So the Chinese material is affecting Vietnam. So we have to address this. So in the Seasoning business unit, we are working hard to address this and would like to take action. So as for Vietnam, there is that concern, but basically speaking, there were challenging situations several years ago, but top management has changed, but turnaround has been seen. So there is this single factor of Chinese products, but everything else was stable -- is stable. So once we address this issue, then we can get back into the original recovery track.
Taro Fujie: So let me answer the second question and Kawana and Masai-san, you can also add to that. And as for Frozen Food, if you can take a look at Page 41, the roadmap by segment is shown, and ROIC, or R-O-I-C, 5% is shown here. But in my view, for Frozen Food, topline has to be grown steadily, especially the gyoza and others in Asia, and high value-added products like Mexican category. In order to expand this further, marketing expenses have to be spent effectively. So for a certain period of time, we have to sacrifice ROIC to grow topline. So between now and 2030, that is something that we need to continue. That’s my view. As for organic growth rate and business profit on top of that is shown here, so you can do the calculation on your own. As for Coffee, there’s no disclosure made for Coffee business alone, but in our company, what was happening in the past and also the challenging and struggling business, and the business that is attracting attention, that is how we look at the Coffee business. So we would create stage gates, and we work together with AGF and also Tokyo headquarters in Ajinomoto. And as I said, steaks products and powder products, we would like to raise the percentage of those on a planned manner systematically. Whether we can actually carry that out is a key. And once we can execute that, then record high profit margin can be renewed. So looking back, we would say we were struggling and we were criticized back then, but we’re now back on the growth and profitable track. That’s what I hope people would say about us by drawing out roadmaps. So Masai, would you like to comment on AGF?
Yoshiteru Masai: So let me make some comments. In the previous question, what was the significance of holding on to AGF? I think this is related to that question. There are three points. So I think Miyake-san’s question was about long-term. So the significance of having the AGF in the practical terms, first of all, our Seasoning business, which is mainstay and Coffee business, there are different customer segments. So the customers that we would not be able to reach in terms of Seasoning can be reached with Coffee business. And that’s the first thing. And more recently, I often use the word export. So from Japan, the products of ours are being exported. So overseas subsidiaries are quite strong in Ajinomoto. So we’re not focusing on exports, but now exports are expected to grow. And at the forefront is the Coffee business. And the reasons that you know, the Chinese business is not that strong, but opening up the door for exports to China was a coffee business. So that was the second reason. And third, so our products are more of winter products. But powdered drink is actually popular in summer. So this is not the kind of business that we have in Seasoning. Customer segment and also export potentiality and seasonality. So these are the different factors. So even though coffee bean prices are challenging, we like to bring this up to ideal level of profit margin.
Haruka Miyake: Thank you. Well, with regard to Thailand, in terms of cost, there could be a benefit. I think that was the comment made. But sales momentum seems to be getting better. What is the driver behind this?
Taro Fujie: Well, thank you for your question. Compared to the previous year, the growth seems to be slowing down. But powdered drink and also instant noodle continue to grow. And we believe that this momentum will be continued by item.
Haruka Miyake: Thank you. As for Frozen Food in the U.S., there is upfront investment and ASEAN and Mexican category are expected to grow. We do understand that. But in Japan, maybe the strategies and policies are different. So the reasonable growth and profit margin, how are we supposed to look at that?
Taro Fujie: And Kawana will answer the question in more detail.
Hideaki Kawana: Miyake-san, as for Frozen Food, maybe you’re concerned about this. But in the first half, rice shortage was seen in Japan, and for chocolate, cacao prices went up, and we are trying to transform the business in Japan and overseas exports are being increased. But sea transport freight cost increased. So there was a decline in profit in the first half. But price adjustment will have a six-month time lag. But we can recover this. But the structure is being reformed now. So previously in the Frozen Food business, there are companies that are acquired overseas and all three companies have their own portfolios that are different from each other. But we have to increase the commonality to increase capital efficiency and profit structure. So we are trying to increase the common portfolio in each other. Then that would keep increasing the business efficiency. That is where we are. And we have seen significant improvements. So we are now making upfront investments in ASEAN and South America. So the profit that has been generated is now being invested in the upfront investments. So in Japan, it is true that it is difficult to grow. But the Seasoning is also the same. If we have a matched portfolio in Japan and overseas, then technologies and also expertise will be introduced, and the loyalty of technologies and human resources will be increased. So we can also enhance the business in Japan.
Haruka Miyake: Thank you.
Masataka Kaji: Thank you very much. Next question. UBS Securities, Ihara-san, please.
Rei Ihara: Thank you for the explanation. This is Ihara from UBS. I have two questions. First, Fujie-san often says about sustainable inflation, sustainable wage hike. I have the same opinion as this. But my question is, are you really able to do that? The margin and the Food business is not bad, the bean coffee is struggling and I think your Frozen Food business is also struggling. What you are actually doing is not being able to become a leader of the sustainable wage hike and sustainable situation? Second is about CDMO.
Taro Fujie: So I would like to first start out with the first question. Yes, whether we can become the leader. Yes, we would like to do our best effort to become the sustainable leader to be able to increase the wage on a sustainable basis and I think it is a way that we would explain to you. The first thing that we see is the total delivery cost margin, TDC, mechanism. We have introduced this. Whether we are able to increase the unit price and cost increase and whether that is higher than the cost that is delivered to us. Yes, as you mentioned, Mr. Ihara, in Japan, for the 30 years or so in Japan, we did not have any inflation. But from two years ago, we started to see some extent. So the third year, wage hike, price hike, whether we can really achieve that or not, I think that is very important. So we would not -- we have no intention to say we did it, we did it. This is not something that only one company can do it. As a leading company in the Food segment, I think some people are taking our company in such a way. So with the -- I would be serving as various leaders in various meetings or I would like to communicate to mass media and also create such environment so that we will be able to increase the wages as well as the price. But are we able to do that? Are we doing it, really? This is a gap between goal and the present figures. This is a challenge. Yes, we want to see them directly and we want to try to fill in the gap. And those are the analysts and the shareholders who would make judgment whether we have been successful or not. So we want to be seriously doing that. But you need to have that ambition and I think enthusiasm to achieve that. So in that sense, I would like to have your advice and your encouragement as well. Did this answer your question?
Rei Ihara: Yes. Yes. I understand. Yes. I really want you to do that. But it seems to me that the margin has been lost. So, of course, I would like you to do that and achieve that. The second question is about CDMO business. You talked about the qualitative stories, but I want to hear quantitative. ¥2.8 billion have been increased of the Bio-Pharma. Biomodality, what is it? And in the second half, I said ¥3.3 billion of profit increase is forecasted. I want to know more in detail or a breakdown of them?
Taro Fujie: Yes. In that sense, Mr. Maeda, I would like to answer that.
Sumio Maeda: Ihara-san, thank you for your question. You mentioned about detailed questions, so I was a bit nervous. But I think in the previous meeting, we talked about the bar graph showing the percentage of the low-molecule, mid-molecule and high-molecule. But I think that percentage has not changed so far. Low-molecule, so we have larger percentage. And based on that percentage, we are seeing the recovery. So that’s about it. And you mentioned about the figures and numbers or quantitative, but market is recovering based on our percentage and the regional recovery is also based on that percentage.
Rei Ihara: I want to go more in detail. ¥2.8 billion increase and Forge is ¥1.2 billion minus. In that case, I think ¥4 billion net increase in profit. High-molecule or Altea, probably struggling still. So Europe, low-molecule and AJIPHASE is in Japan, including that. What are their contribution to these profit increase? And you are expecting ¥3.3 billion increase of the profit in the second half and what is the detail of that?
Taro Fujie: Yes. Well, it’s difficult to talk about the percentage. AJIPHASE and AJICAP, this is, so to speak, our own technology. They are recovering higher and they are less susceptible to the market changes, and therefore, we are benefiting from our proprietary technology. So AJIPHASE and Europe recovery has been the driver for the profit increase.
Rei Ihara: And my understanding is that that will continue in the second half, right?
Taro Fujie: Yes. Yes. We have released this. AJICAP’s license fee is incorporated. Rather than sales increase, profit increase seems to be higher in the material. But this is totally because of the license fee. This has high profitability.
Rei Ihara: I see. So I will finish at this point of time. Thank you.
Masataka Kaji: Thank you very much, Ihara-san, for your questions. Now let us move to the next question. Okasan Securities, Sumoge-san, please.
Manabu Sumoge: Thank you very much. Sumoge from Okasan Securities. Can you hear me? I would like to ask about free cash flow or operating cash flow upward revision. Earlier, ¥20 billion increase because of working capital efficiency improvement, but ¥20 billion is a sizable number. So can you be more specific about which factors will contribute? Structurally speaking, a ¥20 billion increase can be expected. Is that correct? And conventionally, inventory reduction has been done to improve working capital. Is there any further upside? So can you be more -- can you give us more information about upward revision of operating cash flow?
Taro Fujie: Mizutani will answer that question.
Eiichi Mizutani: And Sumoge-san, thank you very much for your question. So operating cash flow improvement and efficiency improvement has been something that we have been working on for some time. For all items, that’s what I said, but not just inventory, but accounts receivable, accounts payable and other items. For all items, we have been working on this and also there are many group companies. So in each of the group companies, based on the situation, there is a unique way to address efficiency improvement. So we have added this up and some of the initiatives have borne fruit.
Manabu Sumoge: And -- but from next fiscal year onward, are we going to be able to continue and be sustained?
Eiichi Mizutani: Well, we are hoping to continue with this so that we can further improve operating cash flow. So I can’t be very specific, but there are so many different items and initiatives done, and that added up to this. Well, let me make some additional comments, Sumoge-san. Well, if I can show you examples, SCM project is one of them. On a global group basis, it has been launched, especially for inventory reduction. What is the status in each of the subsidiaries, group companies and what is the business status? Once every month, we are visualizing these situations and if there is any -- of course, there will be -- there are companies that are making improvements and then the best practices are learned from each other and shared. So with a rolling forecast, finance and others are working together. The business forecast and also increasing the accuracy of business forecast has been something that they are working on. And as for Food business, price increase initiative and visualization of the status has been done using digital technologies. So wherever you are globally, the information will be made available. So that will be rolled out to SCM as well. So at this phase, maybe even if you criticize each of the companies for not being able to do, that would reduce the motivation. So we can just pick up those that are performing well and then best practices will be shared. And there will be comments that would praise three to five corporations under the group that are performing well. So this is kind of like Chinese traditional herbal medicine. You will see the benefit later down the road.
Manabu Sumoge: Well, the operating cash flow level that you are achieving, like would be getting close to ¥200 billion with the profit increase and with the global initiative that will make progress, then there will be more upside in operating cash flow on top of profit increase. Is that the yardstick that you have?
Eiichi Mizutani: Well, cash coverage cycle should be addressed as much as possible in each of the cycles. So that is where we are in the roadmap.
Manabu Sumoge: So there’s another question. The result of the presidential election in the U.S. has come out, and there will be specific impacts that you will see. So you are doing business in the U.S., and also you are doing exports and imports. So there are transactions made. So in terms of risks and opportunities, what are you expecting and what kind of preparations are you making?
Taro Fujie: Thank you very much for your question. It’s not just the presidential election, but there’s a management risk committee where we look at various social and environmental changes and identify risks and opportunities associated with them in a very detailed manner and then discuss the responses and initiatives. And then the impact of the presidential election in the U.S. is part of that. If there is a transition to Trump administration, it is possible that there could be various changes, but it’s very difficult to predict at this time. But we have to have more focus in information gathering so that we can be agile in addressing the changes. So that would include foreign exchange, sustainability or relationship between different countries. Those are part of those discussions and so we have to be as agile as possible in responding to those.
Manabu Sumoge: Thank you. Then at this moment, the main factor would be the forex. I think yen is getting weaker further, but that could be it. And the CDMO business in the U.S., for example, you don’t see the specific impact?
Taro Fujie: Well, we are trying to come up with a business structure that will be less susceptible to foreign exchange changes. There is some impact, but it won’t. We have to avoid the scenario where that would affect them. So B2B2C or domestic and overseas businesses, there is a portfolio comprising of all of these with that in mind.
Manabu Sumoge: Thank you.
Masataka Kaji: Thank you very much, Sumoge-san. And from Daiwa Securities, Morita-san, you were raising hand. You are going to be the last person to ask questions. How about you? It seems to be none. Okay. That ends the question-and-answer session. Thank you very much indeed. Lastly but not least, we will have closing remarks from Mr. Fujie.
Taro Fujie: Thank you very much for your participation. Thank you very much. As I’ve mentioned to you, overall financial results have been very good. Of course, challenges always exist. So by solving those issues, we want to go with the roadmaps and we want to also plant seeds for the future and exert our effort towards our goal. Also today, the coffee business has been of interest to you. In the IR communication, we would be providing more detailed explanation and we want you to feel what is a person, Shimamoto-san, the new President of AGF. So at an earliest possible time, we would like to have such day. So I would like to have your support continuously. Thank you very much indeed.
Masataka Kaji: This concludes today’s presentation meeting. Thank you for your participation. Thank you.
Taro Fujie: Thank you.